Operator: Good day, ladies and gentlemen, and welcome to our First Quarter 2019 Mettler-Toledo International Earnings Conference Call. My name is Jesse, and I'll be your audio coordinator for today. . I would now like to turn our presentation over to your hostess for today's call, Ms. Mary Finnegan. Please proceed, ma'am.
Mary Finnegan: Thanks, Jesse, and good evening, everyone. I'm Mary Finnegan. I'm the Treasurer, and I'm responsible for Investor Relations at Mettler-Toledo. I'm happy that you're joining us this evening. I'm here with Olivier Filliol, our CEO; and Shawn Vadala, our Chief Financial Officer. I need to cover just a couple of administrative matters. This call is being webcast and is available for replay on our website. A copy of the press release and the presentations that we refer to is also on our website.
Olivier Filliol: Thank you, Mary, and welcome to everyone on the call tonight. I will start with a summary of the quarter and then Shawn will provide details on our financial results and guidance. I will then have some additional comments and we will open the lines for Q&A. The highlights for the quarter are on Page 3 of the presentation. We had a very good start to the year with the first quarter results. Local currency sales growth was strong and better-than-expected as demand in our markets remained favorable and we continued to execute well. Total local currency sales grew 7% in the quarter. Food Retailing declined in the quarter. Excluding this business, our total sales grew 8%. We had excellent growth in our Laboratory and Industrial product lines, which more than offset the decline in Food Retailing. Growth in Europe and Asia was a strong and Americas, excluding Food Retail, also grew quite well. Our productivity and margin initiatives continue to drive good results, and despite a 7% gross headwind due to the adverse currency and tariff costs, we achieved a 10% increase in adjusted EPS in the quarter. Our outlook for 2019 remains positive. This week has brought some noise surrounding the trades tariff dispute situation with China. For now, we have assumed that the second wave of tariffs will increase to 25% as indicated by the administration earlier this week. Shawn will go over this in more detail including the potential upside to our 2019 guidance if the tariffs situation improves.
Shawn Vadala: Okay. Thanks, Olivier. Sales were $679.5 million in the quarter, an increase of 7% in local currency. As a reminder, all growth is organic. On a U.S. dollar basis, total sales increased 3% as currencies reduced sales growth by approximately 4% in the quarter. On Slide 4, we show sales growth by region. Local currency sales grew 9% in both Europe and Asia/Rest of World. Local currency sales growth was 3% in the Americas but as Olivier indicated, sales were impacted in this region due to a decline in food retailing. Absent food retailing, Americas grew 6% in the first quarter. China had another excellent quarter with 13% local currency sales growth. We're executing well in Europe but also had some benefit from the timing of Easter this year versus last year. On Slide 5, we outline local currency sales growth by product area. In the quarter, laboratory sales grew 8%, industrial also increased 8%. Within industrial, core industrial grew 9% and product inspection increased 6%. Food retailing declined 5% in the quarter. As you heard from Olivier, Food Retailing reduced our overall sales growth by approximately 1% in the quarter. Slide 6 provides the P&L for the quarter. Gross margin in the quarter was 57.2%, a 50-basis point increase over the prior year level of 56.7%. Productivity and pricing continue to be strong contributors to margin growth. Partly offsetting these positives were tariffs from the U.S. China trade dispute as well as some initial cost and product launches. R&D amounted to $36.1 million, which represents a 9% increase in local currency. SG&A amounted to $204.4 million, a 6% increase in local currency over the prior year. The increase was driven by investments in our field force as well as higher variable compensation. Adjusted operating profit amounted to $147.8 million in the quarter, which represents a 6% increase over the prior year amount of $139.5 million. We estimate currency reduced operating income by approximately $5 million, which is about $1 million worse than what we had expected the last time we spoke. We also estimate that tariffs were a gross headwind to operating income by approximately $4 million. Absent adverse currency and the gross impact of tariffs, operating income would have increased 12% in the quarter.
Olivier Filliol: Thanks, Shawn. Let me start by providing some additional comments on our operating results. Our lab business continues to perform very well, with 8% local currency sales growth in the quarter, which was against good growth in the prior year. Analytical instruments, pipettes and Process Analytics did particularly well. Market demand is good and this business benefits from these proper investments in field resources: Spinnaker sales and marketing initiatives and R&D. We also see the nice benefit from good spending in biopharma in our Laboratory business and biopharma is a good example of how our Spinnaker sales and marketing strategy are targeting the most attractive and fastest-growing segments of the market. We serve both the upstream and downstream processes in biopharma that is R&D, quality control, process development, in-line process monitoring, such as bio reactors and pure water analytics.
Operator: . Your first question comes from Ross Muken with Evercore ISI.
Ross Muken: Just maybe starting out on China, it seems like performance in the quarter was quite good and most of our checks on the ground there are pretty constructive but obviously this week a little bit of a curveball relative to some of the trade and tariff debate. I guess, are you more concerned about domestic demand if something negative were to transpire on tariffs and they were actually going to be implemented tomorrow? Or do you think about it more in the context of what it does for global growth in general? I'm just trying to think through like where risk really lies relative to your business. I'm guessing more the Industrial than the lab side if at all and how you're just thinking through sort of some of the machinations there?
Olivier Filliol: Ross, it's more the latter one and I'd say so because when I look at our business mix today in China, we are less exposed to the manufacturing side - sector and, particularly, discrete manufacturing sector that is more exposed than again to the export business. So I feel really that we have today a very favorable business mix in China with many industries that we serve that will depend on the domestic demand rather than export business. But of course, the global economy could be impacted here. We would probably see the effects throughout Asia, not just China. I think South East Asia, Japan, but also Europe would be impacted if this has further escalation.
Ross Muken: Makes sense. And then maybe I think you sort of gave us some comments on product inspection. Obviously, the traditional package food guys have had particularly in the U.S. some volatility. I guess, the emerging market opportunity there given how far behind in their country seems obvious. But I guess, how are you thinking through how temporal some of these disruptions are and there's also been an uptick a bit in M&A in that world or consolidation. Does that matter? Is that a positive for you because it sometimes will stimulate the desire to upgrade and/or new hold. I guess, how are you just thinking through that backdrop?
Olivier Filliol: I think the challenge is a temporary one. I mean long term, I think actually, this business offers excellent growth. The market dynamics are very good. We are very well positioned. And so I'm very positive about this business. It's a business that I think will contribute above the group average in terms of growth. But the things that you just mentioned will continue to have an impact here for a few more quarters. I don't think this is an immediate turnaround of the market environment. But I don't also want to portray here that the whole market is just challenging. For example in emerging markets, in Asia, we had good growth and I expect this to go on. But maybe in the West, it's where you have big companies there. We feel it - particularly where we feel it is the global roll outs. We had in the past this big global companies that were committed to very significant investments for global roll outs. We see fewer of these and that's the kind of impact that we have to go through, particularly this year.
Operator: Your next question comes from Dan Leonard with Deutsche Bank.
Daniel Leonard: The geographic distribution of your growth is a bit different than what we've seen from others this earnings season, particularly in Europe. So Olivier, heard the comments on the businesses. But could you elaborate further on what you think you're doing well in Europe and why your performance would be so discordant from the macro?
Olivier Filliol: Yes. Hey, I definitely feel that team is executing very well. We have these different programs in place, and they very well resonate also in Europe. All this topics that I mentioned at the end of the prepared remarks about Spinnaker approach, its sales force guide, big data analytics, very much applies to Europe. And so that's one effect but I don't want to also ignore the fact that it against an easier comparison. We have a 9% growth. We will not repeat this kind of growth going forward. And if you look at 2-year growth, however, I'm still very pleased. I like it. And particularly because it was across all the core businesses, the lab did very well, Core Industrial did excellent and product inspection actually did also well. So happy about that. And last, I would also mentioned there was a certain Easter impact that helped us this year. Yes.
Daniel Leonard: And maybe just a quick follow-up. Is it possible to quantify how much you think the Easter timing benefited you?
Shawn Vadala: Dan, this is Shawn. Hey, it's of course difficult to estimate was it 1% to 2% maybe. But probably the best way to look at it is if you look at our guidance for Q2, we're thinking of more like low single-digit for Q2 in Europe. So on a year-to-date basis for the first 6 months of the year, Europe is going to be approximately mid-single-digit.
Operator: You're next question comes from Tycho Peterson with JPMorgan.
Ruizhi Qin: This is Julia on for Tyco. So regarding China, obviously you still have very strong results Industrial and lab, both up double-digit like you said. So given that I mean do you think there is room for updates to your full year outlook which I think assumes high single-digit for lab and low single-digit for Industrial? I mean, I understand you - why you might want to invent some conservatism there but given the Industrial performance so far, do you think low single digit is still a reasonable expectation for full year?
Shawn Vadala: Julia, this is Shawn. Thanks for the question. So for Industrial, I think you're right. I think given the start to the year, we would look at more like a mid-single-digit on the Industrial side in China. And on the lab side, probably a high single-digit. So overall, we are now looking at more high single-digit for China for the full year.
Ruizhi Qin: Okay. Got it. And then regarding the front office resource shifting initiative, could you maybe give a little bit more color on the magnitude of the benefit both in terms of top line and bottom line? And how soon you expect to generate that benefit? And if any of those benefits are embedded in your current guidance?
Olivier Filliol: So the way you need to look at it - this is a multiyear program that we are running here. We have started with the Field Turbo program already a few years ago, and then started to expand it with the Shift 5 program. The way I look at it is how many additional field resources we have versus the previous year as a combined program. And here, we are talking about roughly 200 resource for 2019. This is not so different to what we did in the past, and I would - in that sense, I'm not suggesting that this is - you can see an incremental benefit that is not already built into the guidance or I'm not suggesting here that you will see a further acceleration next year. It's a part of our overall Spinnaker 5 program and it's an enabler also for all the other things that we are doing. Internally, we - when we look at these programs, we look at reasonable payback times because sometimes you have some pre-investments like recruiting and so on. But yes, it's not - this would be on top of what we have budgeted or guided.
Ruizhi Qin: Got you. That's helpful. And then lastly, I think last quarter, you noted that some of your competitor price increases were higher than yours in light of the tariffs which facilitated some share gain. Have you seen that dynamic continue to play out in the first quarter?
Shawn Vadala: Yes. So hey, Julie, just to maybe clarify, I think what you're referring to. So when we were talking about specifically about our midyear pricing last summer in some of our Industrial product categories in the United States, we had noticed that we went out with a robust price increase midyear. Some of our local competition went out with a slightly higher increase in that particular business. We went out with another robust increase during the 2019 annual increase. We're off to a very good start with pricing. And I think we're probably just under 2.5% for the first quarter results, very much in line with what we expected and kind of feel good in terms of where we stand versus competition.
Operator: Your next question comes from Daniel Brennan with UBS.
Daniel Brennan: I was just hoping to - Olivier, I think you touched upon possibly some of the knock-on effects from the China trade, if there isn't one, maybe impact on global growth. Maybe you could just speak to, I mean, is there any risk around kind of relation the ability for China to look for local suppliers again to maybe company like yourself if in fact, it was a retaliation investments? Maybe a high-level question about the competitive dynamics between what you offer and maybe what some local suppliers offer?
Olivier Filliol: I think we are well positioned here. Mettler-Toledo is viewed as a local company in China. We have been there for so many years. We have excellent relationships. We have so many plants there. So I feel really confident on that side and the fact that we have - as a company, we have always been viewed as a global company - there is this Swiss element in it. So I'm not worried about that. It's - we are well positioned also in terms of well differentiated products. They've not - we will not be easily substituted. I think the bigger topic is just the economic development, the global economic evolution.
Daniel Brennan: Got it. and then you spent a fair amount of time discussing your offerings within pharma, probably more than we've heard you elaborate in the past. Maybe can you just address kind of collectively, you're kind of pharma end-market, what that grows at today and possibly with some of the investments you're making, could we see a benefit to you forward growth rate given the fairly strong dynamics within pharma?
Olivier Filliol: Just one additional comment and I wanted to make in China about this whole trade. Of course, there is currency movements that also come with that. We talked about global recession but the currency movements are always very important too and can have ripple effect on other economies, including the Southeast, Asia economics and so on. So I just wanted to also highlight that effect. Now back to pharma, life science industry. What I tried to highlight here is the prepared script is particularly also the subsegment of biopharma. Often we have in previous calls, talked about the pharma and the life science customers of us. In this call, I highlighted the biopharma because, of course, that's one that has a particular dynamic and a good growth momentum. And I wanted to share with you that we have a nice exposure there, that it's growing nice. We have, for example, the Process Analytics business where it's a very significant share. That business has been growing very nicely for us for many years. And we benefit that there's a lot of investments going in biotech and in particular, also on the production side. We - in terms of investment in these and returns, I think this is a gradual thing. We are, today, with our sales force programs in place, with our shift resources and so on, we all are focusing more on pharma, chemical and food industry. And I think that's one of the benefits that we translate in good growth that we have here in Q1 and previous quarters. It's multiple effect. I would be hard-pressed to give you a specific number that would just come from pharma or biopharma in isolation.
Operator: Your next question comes from Brandon Couillard with Jefferies.
Brandon Couillard: Olivier, a question on the product inspection business, specifically. Could you sort of give us a breakdown between what the service side is doing versus the equipment side? And with some of your food packaging customers kind of let's say lengthening out their budgets or with muted budgets right now, are you seeing them leaning more on service needs?
Olivier Filliol: Yes. So we don't specifically break out within a business line. But I certainly can share that the service business continues to outperform the product side, that's a trend that we have now for many years. And service does actually, particularly well it's also very nicely profitable. We care very much about the service business and product inspection because it's a key differentiator that we have. You might remember when we were down in Tampa for the Investor Day, we had also a session on the topic where we highlighted the fact that we have about in U.S., for example, 7x more service technicians than our nearest competitor. That's a unique differentiation and so part of the package. So again, this is going very well and nicely profitable. In terms of the exact impact of the large food companies and their evolution, no, I could not give you here a specific breakout. It's - I would want to refer to the point that I made before about this big global rollout that are missing. It's on an individual account and local size. It's less of a topic. It's more the global rollout that are missing at this point.
Brandon Couillard: One from Shawn. Cash flow off to a pretty good start in the first quarter here. Any updates to your free cash flow expectations for '19?
Shawn Vadala: No. Our free cash flow expectations for the full year is still kind of like in the $510 million range. Yes, we got off to a great start. Some of that is timing of how things are going to play out during the year on different topics. But overall, feel very good about it. Our working capital statistics are at an excellent level, very similar to where they were a year ago. So no change in terms of guidance.
Operator: Your next question comes from Jack Meehan with Barclays.
Jack Meehan: Shawn, I was hoping you could give us - help us quantify some of the changes on the gross margin line, at least the expansion year-over-year. It looks like one of the strongest in about 1.5 years. So I think we have the tariffs number, how much did price contribute and how much was FX year-over-year?
Shawn Vadala: Yes. Sure. So if I just kind of walk it down. So yes, pricing came in pretty much similar to what we expected as I mentioned earlier. That's probably like about 100-basis point improvement on the margin, kind of offsetting that was the gross tariff impact, which was about a 60 basis point headwind on the margin. Currency had about a 20-basis point benefit, and then we had a bunch of other stuff kind of lumped together that went kind of 20 basis points the other way or whatever - however, the math works. Maybe that's 10 basis points. But you kind of get the picture so that's kind of I think the highlights.
Jack Meehan: Great. And then just to clean up on the buyback. Is your expectation still $545 million and look like you're off to maybe a quicker start for the year? Just what's driving the pacing there?
Shawn Vadala: So for the full year, it is going to be just under $750 million. So sorry as a reminder, it would be a free cash flow plus estimated option proceeds plus an incremental $200 million to increase our net debt-to-EBITDA leverage to 1.5 by the end of next year. So just to clarify for everybody, we'll do an incremental $200 million on our share repurchase program this year and next year, and this is consistent with what we've previously communicated to you back the last couple of quarters.
Operator: Your next question comes from Patrick Donnelly with Goldman Sachs.
Patrick Donnelly: Maybe just one on the Core Industrial growth continues to be strong, in spite of some macro signs pointing a little down. Does that mix shift seem less sensitivity to general macro trends compared to the historical certainly seems to be the case. So maybe just help us think about what kind of has driven this dislocation again softer macro yet the core Industrial results continue to be pretty robust.
Olivier Filliol: Yes. We never really know if we are early or late cycle and all of these things. It's really difficult to measure. I think first, we need to look at us on a comparable basis, I talked before about how Europe and core Industrial was extremely strong, but it was against a little bit weaker comparisons. But I am very happy how we do in Industrial. I think it's a reflection of a good execution in the market organization. We have also a very strong product portfolio. We have this effect that I mentioned before, so that it's focused more on pharma can food that it is playing out. So different factors. I wouldn't attribute it too much to the economic cycle.
Patrick Donnelly: Okay. And then maybe just one on lab, another strong quarter even against 10% comp as you mentioned. This type of growth has almost become standard for you guys. So it seems broad-based, areas like liquid handling and process analytics. Anything else to call out on this kind of sustained strength that we've seen for the past couple of years here?
Shawn Vadala: Yes. We were particularly pleased with our analytical instrument growth in the quarter. As you mentioned, we tend - we've been seeing really good trends on some of the biopharma categories like liquid handling and Process Analytics. But we are seeing excellent growth throughout the portfolio. I think one of the standouts in my mind is our analytical business in all areas of the analytical business. And then as I think you're familiar we've had a lot of product introductions throughout the entire lab portfolio with - so I could also comment on Laboratory balances which has particular - a very strong momentum at the moment too. So we feel really good about the lab business when you look at the portfolio of products as well as the execution of the market organization, combined.
Operator: Your next question comes from Derik De Bruin with Bank of America Merrill Lynch.
Michael Ryskin: This is Mike on for Derik. Most of the question have been asked, I'll just throw in two quick ones. One was I thought you mentioned something in the prepared remarks about you had some benefit from timing in core Industrial. I was wondering if you could clarify that a little bit sort of the magnitude there and whether that was tied to the Easter comment on Europe or whether that was a separate event.
Shawn Vadala: Yes. Mike, I'm not - we're kind of looking at each other. I'm not sure when you mentioned timing of core Industrial. I think maybe what you could have referred to is that we did mention something about a little bit of benefit in our transportation and logistics business. Yes, that business has a tendency to be lumpy with projects when it has an impact we bring it to your attention and call it out. So we kind of acknowledged that, that's had some benefit in the quarter. But even, excluding that, we were still high single-digit in our core Industrial business. So still feel good about it.
Michael Ryskin: Yes, that is exactly what I was referring to so appreciate the color. And then another quick one. Just thinking broadly, I was ignoring all the - trying to ignore all the things happening this week and potentially some of the headlines that could or could not happen tonight as far as the tariffs are concerned. Could you just speak broadly to your view on sort of the visibility you have in your key end markets going through the rest of the year? In the past, you've talked to, you know you want to take a cautious stance because of some increased volatility in the macro picture. Has that changed broadly excluding the tariffs story over the last year or so? Is it a 3, 6 months visibility appropriate to comment on in market conditions?
Olivier Filliol: We still feel the same as we - when we talked last time. Actually, we are recognizing that there are clouds out there, but it's not that we are seeing it in our numbers. I feel confident with early indicators. What I hear from my teams pretty much around the world is actually positive, is encouraging. But we do recognize that things are fragile when it comes to the economy and that there are signs, like PMI, things like that, that are - that could make us feel a little bit more cautious. I think we are alert, we are agile to react if anything would happen. But we have no internal indications, and that's why we continue to invest. That's why I was talking about Field Turbo's and all these things. Very confident in that sense about what the upside is. But prepared if things would change.
Operator: Your next question comes from Richard Eastman of Baird.
Richard Eastman: Olivier, could you elaborate just a little bit when you were talking about the lab earlier, the lab segment earlier, you did call out this biopharma production, the bio process production applications that you are growing within the Process Analytics business. Could you just - is that business big enough at this point to move the needle? And is that a newer effort because I didn't really - I haven't placed you guys in the bio process manufacturing process before and I'm just curious if you could maybe shed a little bit of color on that and if you are large enough, is the method of production within biopharma. Is that a benefit to you, or is it more about absolute level of investment?
Olivier Filliol: Interestingly, the bio piece is the region and the core of Process Analytics. I know it well because I started there 18 years ago. It was the pH measurement, in-line measurement with pH and very much this was a parameter used in the fermentation particularly for bio reactors but then also in the beer industry and that has always been an important customer segment for us. And there are parallels between the beer industry and the bio reaction industry with cell growth. And pH measurement and  oxygen have always been a strength of ours. We are clearly the leader in that segment. And then over the years, we have expanded the portfolio and we have added for example, CO2 measurement, which is a similar technology, but we have also added TLC, for example, and more recently - bioburden and these are parameters that you use to - for water purity, and the water purity is very important in pharmaceutical processes, but including also in the bio processes. So the answer is we have been in this business for a long time and we have benefited from the growth of that industry not just in the recent quarters but actually in the recent years. We are also in the business of the single use bags where we provide the sensor for. And I think we highlighted it just on this call because there are multiple products we think Mettler-Toledo portfolio, not just Process Analytics that goes into that end-user industry, we feel that we have actually also good marketing programs to it. We have good databases. And we wanted to highlight it because it had a little bit more attention in the analyst and investor community in recent quarters.
Richard Eastman: Yes, yes. Okay. Is there - in lab and total in the 8% local currency growth that you referenced in the first quarter, is pricing in lab above the 2.5 corporate average? Did that contribute at all?
Shawn Vadala: Maybe, probably. I don't think there's a significant difference this quarter between lab and Industrial. We did more bolder increases on the Industrial side given the tariff situation between the midyear stuff and the stuff we did for the annual price increases as we entered this year.
Richard Eastman: Okay. And then just the last question if I may. Within your European business, was there any positive benefit from the Brexit, let me just say push? In other words any buy forward or inventory levels or anything that you saw we've seen that in a number of companies?
Olivier Filliol: Not really. No. We - basically, we have prepared ourselves with safety stock, absolutely. But from a customer standpoint, I have no indication at all and I visited actually the U.K. just a few weeks ago, and this was a non-topic with the team. In general, I'm surprised how that Brexit, so far, has a limited impact on our business, other than what we take precautions of safety stock. But from a customer's reaction, not much impact. It's also not that we see that many of our customers are shutting down their investments or so, lucky enough not too much impact.
Operator: Your next question comes from Steve Willoughby with Cleveland Research.
Stephen Willoughby: Just one question for you, Shawn. Just sort of question on guidance here. You beat your first quarter guidance by $0.05, you've obviously raised by $0.05, but you took up the full year organic growth by 50 bps so I just was wondering why there wasn't more flow through into earnings.
Shawn Vadala: Yes. No good question, Steve. So I think that best way to think about it is that the 5.5% or the 50 basis points improvement on sales had largely - was largely related to our Q1 beat. Similarly, our EPS increase was largely related to the Q1 beat. But the one thing that probably stands out in our minds as we were giving the guidance that kind of goes the other way is the currencies have worsened a little bit over the last quarter, particularly in the last couple of weeks. We didn't necessarily adjust for 100% of that, but certainly, it's something to call out.
Stephen Willoughby: One quick follow-up, Shawn. Just to confirm, there is no M&A contribution in the quarter?
Shawn Vadala: That's correct. Entirely organic.
Operator: . Your next question comes from Paul Knight with Janney Montgomery.
Paul Knight: Congratulations Olivier on the quarter. On the bio production side of the business, are you applying the original - are you implying systems direct or are you going through DE Sartorius network into part of their systems?
Olivier Filliol: So the big majority of our business also for Process Analytics is direct but there are relationship with system integrators that are building whole plans. And for single use applications, we are working with multiple companies in that space. However, it's always important, even when we go to any system integrators or partners or so, the decision are normally done by the end user and in that sense we have, strong relationship with the end user and the end users know the Mettler-Toledo brand very well.
Paul Knight: And Olivier, what do you think your market share is in the  area and then also, in the beer side of the market?
Olivier Filliol: Let's say, I feel we are a strong leader in all these applications. Again, this fermentation, bio reactor for the specific parameters, the specific analytical parameters, we are viewed as a global leader.
Operator: There are no further questions. I turn the call back to the presenters for any closing remarks.
Mary Finnegan: Thanks, Jesse, and thanks, everyone, for joining us tonight. As always, if you have any questions, don't hesitate to give us a call or easy as we're traveling, or easiest to send us an email. Take care, guys. Bye-bye.
Operator: This concludes today's conference call. You may now disconnect.